Operator: Good afternoon, and thank you for standing by. Welcome to Flex's Third Quarter Fiscal 2024 Earnings Conference Call. [Operator Instructions] I will now turn the call over to Mr. David Rubin, you may begin.
David Rubin: Thank you, Diego. Good afternoon, and welcome to Flex's Third Quarter Fiscal 2024 Earnings Conference Call. With me today is our Chief Executive Officer, Revathi Advaithi; and our Chief Financial Officer, Paul Lundstrom. Both will give brief remarks, followed by Q&A. Slides for today's call as well as a copy of the earnings press release and summary financials are available on the Investor Relations section at flex.com. This call is being recorded and will be available for replay on our corporate web website. As a reminder, today's call contains forward-looking statements, which are based on our current expectations and assumptions. These statements involve risks and uncertainties that could cause actual results to differ materially. For a full discussion of these risks and uncertainties, please see the cautionary statements in our presentation, press release or in the Risk Factors section in our most recent filings with the SEC. Note this information is subject to change, and we have undertaken no obligation to update these forward-looking statements. Please note, unless otherwise stated, all results provided will be non-GAAP measures, and all growth metrics will be on a year-over-year basis. The full non-GAAP to GAAP reconciliations can be found in the appendix slides of today's presentation as well as in the summary financials posted on the Investor Relations website. As previously announced, on January 2, 2024, Flex completed the spinoff of all of its remaining interest in Nextracker to Flex shareholders. As a result of the completion of the spin-off, Nextracker became a fully independent public company. Flex no longer directly or indirectly holds any shares of Nextracker common stock and Flex will no longer consolidate Nextracker into its financial results. Please note, our guidance for fourth quarter fiscal '24 excludes any economic interest in Nextracker and for fiscal year 2024 full year guidance includes Flex economic interest in Nextracker for Q1 through Q3. However, it also excludes it from Q4 fiscal '24. Lastly, the historical results of Nextracker and certain assets and liabilities included in the spin-off will be reported in Flex's consolidated financial statements as discontinued operations beginning in Flex's fourth quarter ending in March 31, 2024. With all that, now I'd like to turn the call over to our CEO, Revathi?
Revathi Advaithi: With the tax-free spin that occurred in early January, making Nextracker a fully independent company, we wish them great success in the future and look forward to watching their continued growth. Through this process, we unlock tremendous value and the approach reflects in our continued focus on creating long-term shareholder value. Of course, Flex remains committed to enabling the transition to renewable energy in our core business. We serve a wide variety of customers and applications, generating over $1 billion in revenue for this market. I should also mention that we continue to expand the use of renewable energy in our own factories as part of our net-zero journey. Now moving to our results on slide 4. Overall, fiscal Q3 was another quarter of strong execution. For total Flex, revenue was $7.1 billion, adjusted operating margin came in at 6.7%, and we delivered $0.71 of adjusted EPS. Looking at results for Core Flex, which exclude Nextracker, we continue to execute very well with this dynamic environment. Revenue was $6.4 billion. Core Flex operating margin came in at a record 4.9%, up both sequentially and year-over-year, and we delivered $0.54 of EPS. Again, this was solid execution in the quarter. Now the takeaway should be clear. Our results continue to show the resiliency of the Flex model and fundamental changes to the industry. Despite significant macro driven volume fluctuations, we've continued to deliver on our margin and EPS commitments. We remain very well positioned across the markets we serve, and this comes from our deep relationships with our customers and our ability to provide world-class quality and value in the products we manufacture. I want to share a couple of highlights from the quarter that demonstrate our strong market position. AI is driving changes in data movement both through the data center and across the network. Our strength in hyperscale data center and networking infrastructure are key enablers of our customers' success in delivering these products at scale. We've talked before about our strong positioning with multiple hyperscale customers. We're the only EMS provider with a comprehensive offering, including bespoke fully integrated rack systems and power solutions, ranging from embedded, discrete and all the way up to data center critical power. In addition, we offer value-added services in design, metal, components, supply chain management integration and aftermarket services, including circular economy. As a result of our comprehensive offerings, we continue to see very strong growth in our Cloud business. On the networking side, a good example is our partnership with Cisco. Recently, we were honored to receive their 2023 Electronic Manufacturing Services Partner of the Year Award. We're also building on our 20-year partnership with Ciena under the world-class networking company to provide U.S.-based manufacturing capabilities and supply chain services, enabling Ciena to ramp high-volume production of its innovative pluggable optical technologies in support of the BEAD, the broadband equity access and deployment programs and the Build America, Buy America requirements. Now looking at automotive. Next-gen mobility, including EV onboard electronics, charging infrastructure and advanced compute systems for the software-defined vehicle remains very important long-term growth drivers and Flex plays a key role across these ecosystems to support the OEMs, including designing or co-designing content while bringing world-class manufacturing and supply chain leadership. We have built a well-diversified portfolio of solutions for ICE, hybrid, full EV and across the spectrum of driver assistance and safety. For example, our advanced compute platform technology that powers software-defined vehicles is agnostic across ICE, hybrid and EVs. We also have established relationships with many of the upstream semiconductor providers as evidenced by our previously announced partnership with NVIDIA for ADAS and autonomous applications, and we recently showcased our next-gen EV power electronics full design capability with STMicroelectronics, utilizing the latest in silicon carbide MOSFET technology. So you can see Flex is well positioned for every stage of this long-term technology transition. It is also very important to remember as a platform, we are experts in complex compute and power, which gives us competitive advantage across the multiple markets. Our technology and vertical integration capabilities serve many applications, including hyperscale data centers, renewables and next-generation mobility. Our customers look to us to help them navigate the complexity and implement these integrated capabilities to give them a competitive advantage. Now the current environment remains highly dynamic, and we're already seeing the impact from elevated interest rates in some markets and excess inventory in others. We have made it through the supply chain crisis. However, we carefully watch the situation in the Red Sea and how that could impact supply lines. We continue to execute through this cycle, and we are very well positioned in markets with strong, long-term secular drivers. The greater stability in margins and EPS validates the change we have made to our business and the evolution of the top-tier EMS industry. We are very optimistic about our future. With that, I'll pass the call over to Paul to take you through our financials.
Paul Lundstrom: Okay. Thank you, Revathi. I would also like to start by wishing Nextracker great success on their new path and reiterate something that Revathi said. This separation is a great example of our commitment to create strong shareholder value. As you may recall, we executed on multiple value-creating transactions over this whole process with the private equity investment, the IPO, the follow-on and finally, the investor-friendly and tax-efficient spin of the remaining Nextracker shares. Jumping to our third quarter performance on slide 7, it was another solid quarter. Third quarter revenue was $7.1 billion. Gross profit improved to $712 million and gross margin increased 10%, an increase of over 200 basis points. Operating income was $477 million with operating margin at 6.7%, up from 4.8% in the prior year period. And earnings per share came in at $0.71 for the quarter, increasing 15%, which includes $0.10 of Nextracker non-controlling interest. Looking at Core Flex results, which excludes Nextracker, results were stronger than initially expected with Core Flex revenue down -- excuse me, Core Flex revenue of $6.4 billion, down 11%, but against a tough year-over-year compare. Core flex operating margin came in at a record 4.9%, up 60 basis points with another quarter of sequential margin expansion, up 20 basis points from Q2. This is reflective of our strong execution, including cost actions and continued mix improvements. The Flex core business delivered $0.54 of EPS, up 10%. Turning to our quarterly segment results on the next slide, reliability revenue was $3 billion, with solid demand in auto and medical devices, while we saw further macro-driven weakness in commercial industrial solutions and continued headwinds in residential solar. Operating income came in at $159 million, and operating margin for this segment improved sequentially and year-over-year to 5.4%. In Agility, revenue came in at $3.5 billion as we executed on very strong AI-driven cloud demand. Operating income came in at $174 million. The team delivered a record 5% operating margin, reflective of favorable mix, continuing value-added services adoption and strong operational cost management. Finally, Nextracker delivered revenue of $710 million, up 38%. Operating income at Nextracker was $162 million, delivering 23% operating margin. Moving to cash flow on slide 9, we made further progress on our inventory improvement goals, reducing net inventory again by 5% sequentially and 13% year-over-year. In general, the semiconductor shortages that punctuated the previous supply chain challenges are largely back to normal, and we expect continued reductions in inventory and working capital advances. However, the Red Sea situation could temporarily impact the pace of those reductions if supply chains are adversely affected by increasing transit times. Q3 net CapEx came in at $128 million on target at 2% of revenue. We expect to maintain a similar total investment level in Q4. Free cash flow in the quarter was $156 million. We expect free cash flow in Q4 to be between $3 million and $400 million for Core Flex. So given where we are today, that would put us in line with our original FY '24 free cash flow guidance of $600 million that had assumed a combined Flex and Nextracker for the full year despite the absence of Nextracker in Q4. In the quarter, we returned $275 million to shareholders through share repurchases ahead of the full Nextracker separation. Fiscal year-to-date, we have returned approximately $780 million. Please turn to the next slide for our segment outlook for the fiscal fourth quarter. For Reliability Solutions, we expect revenue will be down mid-single digit to low teens as we expect continued strength in Cloud Power Solutions, stable demand in automotive and medical devices and continued mixed demand in medical equipment and life sciences. We also expect further macro-related weakness in core industrial and also residential solar. Revenue in Agility is expected to be down low teens to low 20s percent. We continue to see strong AI-driven Cloud spending with weakness in communications, enterprise IT and consumer-related end markets. Q4 is also typically our seasonally weakest quarter across Agility. On to slide 11 for our quarterly guidance. With the Nextracker separation completed on January 2, Q4 guidance is now based only on Core Flex financials and is not comparable to previous consensus. For Q4, we expect revenue in the range of $5.8 billion to $6.4 billion with operating income between $305 million and $355 million. Interest and others estimated to be around $53 million. We expect the tax rate to be around 15% in the quarter. All of that translates to adjusted EPS between $0.50 and $0.60 based on approximately 425 million weighted average shares outstanding. And looking at our GAAP guidance, recall for Q3, we expected approximately $100 million in restructuring charges. We implemented about $70 million of that in Q3. So we expect at least another $30 million of those charges will then shift into Q4. Looking at our full year guidance on the following slide, note that FY '24 total Flex guidance still includes the impact from Nextracker in the prior 3 quarters. Please note, total Flex full year guidance is not comparable to our previous guidance or consensus due to the January separation of Nextracker. So for total Flex, we expect full year revenue between $27.7 million and $28.3 billion, adjusted operating margin now between 5.7% and 5.9% and adjusted EPS between $2.47 and $2.57 a share. As with last quarter, for additional visibility, we are providing our expectations for Core Flex only for the full year, and this guidance is comparable to Core Flex guidance that we gave last quarter. So for Core Flex, our guidance is essentially unchanged from last quarter. We expect full year revenue between $26 million and $26.6 billion. We expect adjusted operating margin to be between 4.8% and 4.9%, and we expect adjusted EPS of between $2.07 and $2.17 a share. As we enter into the final quarter of the year, our team continues to execute very well in a challenging environment. As Revathi pointed out, the results we are delivering validate that Flex is a more resilient and efficient company. Strong long-term trends remain intact, and we continue to have ample opportunity to build on our diversified portfolio and customer base through new wins and increasing wallet share, and we'll continue to drive margin expansion and ultimately create shareholder value. Lastly, this year, we will hold our virtual investor event in conjunction with our fiscal Q4 earnings call where we will provide full fiscal '25 guidance and also update our longer-term outlook. So please stay tuned for that. I'll now turn the call back over to you, Diego, to start the Q&A.
Operator: We'll now begin the question-and-answer session portion of today's call. [Operator Instructions]. Our first question comes from Samik Chatterjee with JPMorgan.
Unknown Analyst: This is [indiscernible] Samik Chatterjee. I wanted to ask regarding like the updated visibility regarding end markets. Can you please revisit the 2.65 Core Flex EPS target for FY '25 and let us know both the drivers regarding the same versus with respect to top line expansion versus operating margins and buyback support? And I have one follow-up.
Revathi Advaithi: Okay. [ Sumithe ], I'll start off and Paul jump in here wherever you want to. I'll first start by saying is that our fiscal year ends in March, and as Paul pointed out, we'll be doing our Investor Day in April. So that's kind of when we'll be really talking about guidance for fiscal '25 and long term. But the first, I'll just start by saying, if I go back to 2022 long-term targets that we said, we talked about a few things, right? We talked about 5% Core Flex operating margin. We talked about mid-teens EPS growth. And we still think those targets are in the right ballpark. I'll just say that the market is very dynamic. You know that as well as we do. So we'll have to wait a little bit, like I said in the beginning for next quarter to give the exact number when we give the full FY '25 guidance. But I want to take a minute and just take a step back and look at what we have done right, in the last 4 years to complete the transformation that we started. So that includes major portfolio alignments, operational transitions and a lot of shareholder-friendly corporate development actions. This quarter, we hit Core Flex operating margin of 4.9%, which was record, and we expect that to improve again next quarter. So clearly, delivering on the commitment, we have a more agile and a more efficient company that's focused on higher-value business. But the goal of all this transformation was also to make Flex a more investable company. So we're also focused on the quality of our earnings. And that means that if you look at the primary drivers of our fundamentals, it's about strong growth in end markets with long-term trends, increasing wallet share with our customers. So it's good growth, right? And then on top of that, we're adding things like value-added services and executing well operationally. So going back to the things we said, good margin expansion in 2022, we've said this. EPS growth in the mid-teens despite all the macro and the corporate development work we've done with the â in order Nextracker, we've done good work on capital return. So I would say we remain a strong, agile, resilient company, a lot of macro uncertainties and we'll use the next few months to figure it out, but we feel good about the fundamentals of what we talked about in 2022. Paul, anything you'd add?
Paul Lundstrom: Yes. I think you said it well. I mean, we told you that we think we can do margins of 5% down the road. And like you said, we just hit 4.9% and expect to do more. We also have talked about mid-teens EPS growth. As I look ahead to next year, I think that's reasonable, low teens, mid-teens. And we're buying back stock. And so I think the hard part for us at the moment is what's revenue growth really going to be based on the macro. We're listening to all the same earnings calls that all of you guys are too. And I could kind of go down the list for FY or calendar '24, you look at telecommunications' CapEx looks down, enterprise spending continues to be a bit weak, industrial capital equipment seems to continue to be slowing a bit. So I would rather just hold off a quarter. We'll talk about it in more detail at the Investor Day here in May. But I think you have a pretty good framework for how we're thinking about it.
Unknown Analyst: And a follow-up I have is regarding the M&A landscape, like what are the sort of activity that you are currently seeing in this space? And which is the target area for you in terms of end markets for M&A?
Paul Lundstrom: Sure. So I would say our posture really hasn't changed on M&A. And I guess I'll just kind of broadly talk about capital allocation. But we continue to have a pretty robust process, and I would say, a pretty robust pipeline. We're always looking at the landscape of opportunities. There's nothing large scale that I would say is in the hopper. We're talking about technology acquisitions and other tuck-ins that we can make to sort of improve the capability of the enterprise, but not large-scale M&A. And if I think about how I would sort of prioritize M&A, frankly, it's probably last unless we can get a really good deal. Continuing to focus on internal investment and make sure the business is well funded for all the organic growth opportunities we think we have over the next several years. That's a key priority for us. And the stock continues, in our view, to be a great opportunity to create more shareholder value. So we're going to continue to buy back stock.
Revathi Advaithi: Yes. The only thing I'd add is if the areas where we would be interested in technology or tuck-in acquisitions would be in the place of power, embedded power, critical power related to this --which we have a really good sizable business and the products business would be focused around hyperscale and data center customers, so continue building out that part of our portfolio. And the second would be around this continued growth in our value-added services business and things that add to that. So those are the areas we would be keen on and would be investing in as we look further if we -- like Paul said, but it comes second after buyback.
Operator: And our next question comes from Mark Delaney with Goldman Sachs Asset Management.
Mark Delaney: Starting on Cloud, [indiscernible] market you mentioned today is doing well. I believe Flex have been expecting about 20% growth in Cloud, driven by the multiple hyperscaler programs that have been ramping. Maybe you can talk a little bit more around how those are going operationally? Are you able to meet that demand? And how is growth in Cloud tracking relative to your prior view of nearly 20% growth?
Revathi Advaithi: Yes. Mark, the Cloud business is doing really well. It will be North of the -- well North of the 20% that we talked about earlier. And when we were previously talking about this, we were kind of hedging our bets to look at how the markets develop and all that. But overall, our Cloud business for fiscal '24 all said and done, would have grown well North of 20%. And I would say that we expect fiscal year '25 to also be considerably strong for Cloud. And this includes not just our CEC business as you know and what we do there in terms of RAC integration and all of that, but also our embedded power and our facilities power business. So pretty significant growth for Cloud. Cloud will start to become almost as big as our -- at some point as our enterprise IT business. So it's catching up to that. So really good growth coming out of Cloud, and we expect fiscal '25 to be good. Operationally, I would say, doing well. We are very pleased with how the program ramps are going. And it is a very large-scale program, and we've made considerable progress on it and going well. So I'm pleased with it.
Mark Delaney: That's helpful. And my other question was just trying to better understand some of the mechanics in the fiscal 4Q guide. And in particular, it looks like the company is expecting EBIT dollars in fiscal 4Q to increase sequentially to, I think, about $330 million at the midpoint, up from, I think, the $315 Core Flex did in the third quarter even though revenue is dropping a little over $300 million quarter-on-quarter. So maybe help us better understand if you could please, what's allowing EBIT dollars and margin to improve so much even as revenue is falling in the coming quarter for guidance?
Paul Lundstrom: Yes, it's a good question, Mark. And so give you a little bit of clarity on that. So first, just to kind of go back to the third quarter because your question was that of sequential. So third quarter, we did $6.4 billion for Core Flex. That was 4.9% operating margin. You're exactly right. Our expectation here at the midpoint would be $6.1 billion of revenue in Q4 at 330, that would be 5.4% operating margin. So nice -- certainly like the trajectory there. I would say it's a couple of things. One, if you look at the revenue, it's down sequentially. A piece of that, probably a third is just less recoveries. We talked a little bit about sort of the improving semiconductor market. We have less claims that are kind of going backwards that inflation pass-through effect that we've talked about now for probably 1.5 years. And so I would say a little bit less sequential revenue just from claims. The rest is volume, and that does drop through. However, mix is improving. That's a good guy. That would be one. Two, -- if you look at the tailwind we have from restructuring as we move from Q2 to Q3 to Q4, a lot of those programs that we talked about in the prepared remarks, at $70 million or so were implemented as we move through the quarter. And so you're going to have more benefit in the fourth quarter than you have in the third. So that's a good guy. And then the other one would just be given the sort of choppy end markets and some volume contraction in some of our end markets, we're taking other cost actions. I think it's just a prudent thing to do. So that kind of gets you to better margin, mix, cost out, restructuring tailwind.
Operator: Our next question comes from Matt Sheerin with Stifel.
Matthew Sheerin: Just relative to your outlook, and you pointed out several end markets where there is a weakness, but a quarter ago, you took a very big cut to your forward guidance based on customer order cuts. So the question is have things gotten materially worse or in terms of any cancellations or inventory issues at customers' demand issues have things stabilized? Because it looks like your guidance is sort of in line with what we had previously expected.
Revathi Advaithi: Yes. Matt, I would say that it's in line with what we had previously expected. I would say when we took that correction when we did, we really looked forward. We looked at the feedback we got from customers. We used a lot of our own intelligence and planning to understand what channel inventories look like, how these end markets are going to behave and use a lot of our own intelligence to come up with what the forward-looking forecast was going to be, and that's playing out to be in line with what we thought. I would say in terms of markets itself, just to give you a little color of what we're saying, I'm not -- we're not seeing any significant difference from what we saw. We had said before that Cloud was fairly strong. Automotive was -- continues to be strong, but interest rates will be a watch item for that, as you've heard several people talk about. In health care, we said it was mixed. It continues to be that way. I'd say industrial has been weak like we said before. And so overall, I'd say, very similar. There's no kind of no new news to deliver. But what I'm happy about is, as you know, it's hard to do good forecast in this type of environment. So I think we came pretty close to trying to predict what we thought our end markets we're going to do, and it's in line with what we said.
Matthew Sheerin: Okay. And then on the inventory reduction and expected cash flow, Paul, how should we think about the cadence of the share repurchase program? And could you remind us how much is left on your authorization?
Paul Lundstrom: So left on the authorization, off the top of my head, I don't know that, but I'm sure David can pull it quickly. But let me tell you kind of what we're thinking. So buyback this past quarter about $275 million or so. I would expect that we'll probably do close to twice that here in Q4. The cadence definitely steps up. If I were to just put a placeholder in there, I would say go with $500 million, give or take, which would put us at for the full fiscal year, somewhere in the order of $1.3 billion. It's what we've talked about before. There's -- I think as we move through the better part of the calendar year last year, a fair amount of stops and starts because we were in process for a lot of the Nextracker transaction, which means that we kind of got blacked out in some months. But we continue to believe that this is a nice value creation opportunity in our own stock and hence, the expected stepped-up cadence in our FY Q4 here.
Operator: Our next question comes from Ruplu Bhattacharya with Bank of America.
Ruplu Bhattacharya: Competitor Jabil also took down their guidance. But the strange thing there is they've taken down their second half more than the first half. I mean, if I look at your fiscal year '25, the June quarter, September quarter, I mean, their guidance would imply some weakness in the end markets. My question to you, Paul, is the $265 million in earnings that you have for fiscal '25, even without either restating that or not, can you remind us of what are some of the margin improvement levers that you have so that even if revenues are weaker in the first half of fiscal '25, what are your thoughts as to like what you can do in terms of margin improvement to help get PPS to where you want to get to?
Revathi Advaithi: Ruplu, I'll start and Paul can jump in. So at I'll tell you is that we have shown this year, right, our ability to really manage our decrementals really well, either through a variety of different ways, whether it is through improved cost management, driving strong productivity and efficiency in our factories and then, of course, our end markets in terms of where we are participating and mix has also helped overall. So when I look at kind of first half versus second half, frankly, Ruplu, I mean, at this point, it's too early to talk about FY '25, but I don't even know if like second half has a huge recovery. I think in general, FY '25 will be an interesting year. But I'd say our view is that we have tremendous room in terms of driving factory automation and productivity, and we have seen that play out this year, and we'll continue to drive that into next year. So fundamental operating efficiency and productivity driven by factory improvement is going to be a core part of this. Our mix will continue to improve. So things like value-added services, growth coming from power and hyperscale, all those are critical areas where we will see margin improvement driven by that. So I think those are the ways that we continue to see margin improvement. And then we also have tailwind from restructuring that we just did that will continue to flow through into next year. So those are all the ways we're thinking continued margin improvement. And I think this year and the last few years have proven that we can deliver it.
Ruplu Bhattacharya: Right. Thanks for the details Revathi. For my follow-up, I want to ask you another broad picture question. So now that Flex is Core Flex ex-Nextracker, where do you think your investments will be more which end market or which segment? And as you look out beyond this near-term weakness in the end markets, what do you think will drive growth for Flex? I mean, which end market or which sector? And where would you want to invest your CapEx? And I know, for example, you've got a big Cloud customer you talked about. But I mean, any areas, is it Reliability that you want to invest in? Is it Agility or both? Any thoughts there?
Revathi Advaithi: Yes. Ruplu, thanks for that question. We are going to talk a lot more about this in our Investor Day, but just giving you a preview of it would be, we'll continue to invest significantly both in commercial and in capacity growth for power related to Cloud, and that's going to be a considerable part of our growth. I would say Cloud itself within our CEC segment, so that is focused on kind of AI and hyperscale growth will be continued investment for us. So this theme is kind of in line with what we talked about last Investor Day, and that has proven to be a very good commitment of our resources, and that will continue to be a major macro growth driver for us. I would say the second would be, you have -- we'll talk more about this in a few months, but value-added services, which is a combination of recycling, waste management, but also things like additional component services or more vertical integration across our end-to-end wallet share of our customers is a significant part of our growth strategy, and that has proven to be -- has had good tailwind over the last few years, and we expect that to be a continued growth focus for us, and we'll discuss that more. And then, of course, everything around electrification will be -- I mean, we continue to increase our wallet share in the automotive market, and that will be a growth area also. So, if I look at the macros, those are very much in line with the areas that I think are good growth drivers, not just for Flex, but you see that reflected in the industry itself. So those will be our focus areas.
Operator: [Operator Instructions]. Our next question comes from Steven Fox with Fox Advisors.
Steven Fox: A couple of questions for me. First of all, on the cash flows looking ahead, now that we're looking at a Core Flex business into next fiscal year, can you give us a sense for how we -- sort of some rule of thumbs on working capital, especially as you finish up the year, it sounds like working down some inventory? And then I had a follow-up.
Paul Lundstrom: Yes. I think good news is on this, Steven, is we do continue to see progress on inventory. And I don't want to guide on FY '25 yet, we're still kind of working through that process, but I certainly like the momentum and how things have sort of loosened up a little bit. My only hedge on that would be we supported the inventory growth with working capital advances from customers, and those will kind of unwind together, maybe not exactly at the same time, but those kind of come down generally simultaneously. But yes, I mean I expect more good things to come when it comes to cash because I do see a working capital [ unwind ] here as we look forward over the next couple of years.
Steven Fox: And then just there's been a lot of interesting comments on the certain markets. Just stepping back for a second. I noticed the sort of justified reason for not getting too specific on fiscal '25, but it also sounds like you haven't seen any other leg down. So can you just sort of express to us like what your biggest concerns are as you head into the new fiscal year that are out of your control?
Revathi Advaithi: Paul, do you want to start?
Paul Lundstrom: I would say -- I mean, Revathi and I probably -- we worry about lots of things, but -- and maybe they're slightly different, but mine would be -- I worry a little bit about the end markets. I think the operations are well managed, and I think we've demonstrated that we can grow earnings despite end market contractions. And I think we have enough levers to pull that I think you can see great operating performance despite a tough year here in FY '24. But revenue is one of those things that until it stops going down, it's not going up. And so I do worry a little bit about things like telecommunications infrastructure, enterprise IT spending, what's going to happen with medical equipment, which would be more the CapEx in medical centers. But boy, there's a lot of tailwinds right now. And Cloud seems to be going quite well. I think automotive has held up well despite interest rates. I think there's parts of the industrial business that it's getting maybe bad press globally right now. But man, we have some great opportunities, and I continue to be pretty bullish on the supply chain continuity argument is such a tailwind for the macro in EMS and especially for Flex. I think that's going to be a good guy for us over the next several years. So there's some specific end market challenges that I'm a little bit anxious about, but I think the overall, the macro is pretty good for companies in our industry. We just need to execute.
Revathi Advaithi: I have nothing to add, I think that's well said.
Operator: The last question comes from George Wang with Barclays.
George Wang: Congrats on the quarter. Just I have two quick ones. Firstly, just looking at the guidance for the free cash flow for the 4Q seems very strong, especially -- so they more than doubled sequentially from a Core flex standpoint. Maybe you can kind of double click some of the [ puts and takes ] on the driver. Obviously, aside from some factors you mentioned kind of [ co-inventory ] and some working capital advances reduction, just curious kind of additional leverage you guys have as we look out to FY '25?
Paul Lundstrom: Sure, George. No problem. So one thing I'll just point out is we do tend to be a little seasonal on cash flow. Our fiscal year-end is March, you have -- a lot of our customers' fiscal year-end is December. And so there can be a little bit of timing between our Q3 and customers' Q4. And so Q3 tends to be a little on the light side. Q4 for us tends to be much better as some customers sort of hold checks as they get to their year-end. So seasonally, we tend to be a little bit better. That's part of it. We're definitely making some nice progress now on inventory, as I had kind of mentioned to Stephen. Working capital advances and inventory will broad-brush, I would say, they will come down sort of simultaneously. But that should continue to be a tailwind for us as we unwind some of that inventory from that chip shortage we dealt with over the last couple of years. My only other comment I would say this is a typical CFO comment. I really don't like giving quarterly guidance. And please don't expect that going forward. The reason we were so sort of clear and prescriptive here on Q4 was, I think it's important for people to understand how things look post Nextracker separation. And so that $300 million to $400 million of free cash flow we're expecting in Q4, typically, I wouldn't make that sort of guide and plus or minus that. But generally speaking, we feel pretty good about where we are now for the year.
George Wang: Just a quick follow-up, just kind of trying to hone in on the AI kind of power, hyperscale exposure there. Just -- are you able to quantify the revenue contribution for this particular segment? So they're enjoying kind of over 20% growth. Kind of what's the mix roughly versus total Flex revenue? And you guys sort of incorporate some of the share gains as well aside from -- so they obviously a growing pie for the AI industry and a large -- it's not like some share gain as well, maybe you guys are taking versus other ODMs out there given such a double-digit strong growth rate? Maybe you can give additional color on those.
Revathi Advaithi: Yes. George, we'll talk a little bit more about this in our Investor Day, but we haven't shared -- I mean, you know in Anord Mardix because we bought that business, and so that revenue is known, but it's grown dramatically since we bought it. We haven't shared our embedded power business and those numbers publicly and our value-added services numbers that go into hybrid scale. So those haven't been shared. So I would say if I look at kind of AI growth and overall growth for us in hyperscale across these capabilities, all of those are fairly strong. Yes, we've definitely clearly taken share, I would say, in the CEC segment. In the embedded power segment, we don't really have major competitors who have our capability, our product capability. And I would say, so we feel very comfortable with the fact that we're taking share in the right way and not really from ODMs because we don't like to compete with ODM margins. So I would say more in terms of being able to sell our overall value. So the margin accretion also is in line with what we would be looking for. So more to come on that, I would say, here in a few months, but we'll definitely focus on kind of AI and data center growth as it relates to us. But we feel really good about the growth associated with that for us. I think that was the last question. So thank you. We look forward to speaking with you again when we hold our investor event in conjunction with our fiscal Q4 earnings call. I would like to -- on behalf of my leadership team, I want to say a thank you to all our customers and our shareholders for their support, and of course, the Flex team across the globe for their dedication and contributions. Thank you.
Operator: Thank you. This concludes today's conference call. Thank you for joining. You may now disconnect.